Operator: Ladies and gentlemen, thank you for standing by and welcome for the Imperial Q1 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host, Dave Hughes, Vice President of Investor Relations. You may begin. 
Dave Hughes: Thank you. Good morning, everybody. Thanks for joining us today on our first quarter earnings call. I'll start by introducing the management team who is here with me. Brad Corson, Chairman, President and CEO; Dan Lyons, Senior Vice President, Finance and Administration; Simon Younger, Senior Vice President of the Upstream; Sherri Evers, Vice President of Commercial and Corporate Development; and Jon Wetmore, Vice President of the Downstream. So first of all I'll read the cautionary statement. Today's comments include reference to non-GAAP financial measures. The definitions and reconciliations of these measures can be found in Attachment 6 of our most recent press release and are available on our website with the link to this conference call. Today's comments may also contain forward-looking information. Any forward-looking information is not a guarantee of future performance and actual future financial performance and operating results can differ materially depending on a number of factors and assumptions. Forward-looking information and the risk factors and assumptions are described in further detail in our first quarter earnings press release that we issued this morning, as well as our most recent Form 10-K and all of these documents are available on SEDAR, EDGAR and on our website. So please refer to those. We'll follow our typical format. Brad will start with some opening remarks and then, Dan will provide a financial update then move back to Brad for an operating update and then we'll follow it up with a Q&A session. So with that, I'll turn it over to Brad.
Brad Corson: Okay. Thank you, Dave, and good morning, everybody, and welcome to our first quarter earnings call. I hope you’re all doing well. Back in February, when I spoke to you about our fourth quarter results, we talked about how we wrapped up the year strong, with another quarter of solid operating performance and strong financial results. Our focus on ensuring our company was in the best position possible to take advantage of the market recovery was certainly paying off and I'm pleased to say, the positive momentum has continued into 2022. While it was a quarter that started with some pretty challenging weather conditions, which had an impact on production, particularly at Kearl, our other upstream assets such as Cold Lake and our downstream and chemicals operations performed quite well. As a result of this performance, when paired with the high price environment, we were able to deliver very strong financial results in the quarter. And now with the challenges at Kearl behind us and with the Sarnia turnaround wrapping up in April, which is the extent of our downstream turnaround activity for the year, we are well positioned to deliver more value in the coming quarters. Over the next few minutes Dan and I will detail the results of what was a very strong quarter. So, now, let's review the first quarter results. To start, earnings for the quarter were almost $1.2 billion, which represents our highest first quarter net income in over 30 years. And our cash from operating activities was just over $1.9 billion, also the highest first quarter in over 30 years. These results reflect our strong operating performance and the strong commodity fundamentals in the quarter. Crude prices continued to strengthen through the quarter, while both downstream and chemical margins remained strong. Total upstream production of 380,000 barrels per day reflects the impacts at Kearl of the severe cold weather that started in the late fourth quarter of last year and continued into the first quarter of this year, as well as some unplanned downtime at Kearl that I will discuss later. Our downstream continued to perform at a very high level, with first quarter utilization of 93%. Demands remain quite strong, as many of the remaining pandemic restrictions were lifted late in the quarter. During the quarter, construction of the Sarnia products pipeline was completed ahead of schedule, with start-up and commissioning completed in April. This is a key project for us, as it helps ensure reliable access into the Toronto market, which is our largest market and also drives a reduction in transportation costs of around $40 million per year. Our overall strong performance, once again, supported our ability to deliver on our priority of returning cash to shareholders. As you are aware, we completed our existing normal course issuer bid at the end of January and declared the largest dividend increase in our history on February 1. Completion of the NCIB amounted to $449 million returned to our shareholders in the quarter on top of dividends paid of $185 million. This morning, we declared a dividend of $0.34 per share payable July 1st and also announced our intention to initiate a substantial issuer bid, to return an additional $2.5 billion to our shareholders. I'll now turn it over to Dan, to go through our financial performance for the quarter in more detail.
Dan Lyons: Thanks, Brad. Getting into the financial results for the first quarter our net income of $1.173 billion was up $781 million from the first quarter of 2021, primarily driven by improved prices in the Upstream and higher margins in the Downstream. Now if we look sequentially, first quarter net income of $1.173 billion is up $360 million from the fourth quarter of 2021 supported by the improved market conditions we've seen throughout the first quarter of this year. Looking at each business line. The Upstream recorded net income of $782 million, up about $240 million from our fourth quarter's net income of $545 million driven by higher realizations partly offset by lower volumes at Kearl. The Downstream recorded net income of $389 million, up about $140 million from the fourth quarter's net income of $250 million reflecting the absence of the prior quarter's onetime charges, lower operating expenses and higher margins.Our chemicals business recorded net income of $56 million in the first quarter, down $8 million from the fourth quarter net income of $64 million as margins eased from last year. Moving on to cash flow. In the first quarter, we generated just over $1.9 billion in cash flows from operating activities an improvement of about $300 million from the fourth quarter of 2021 reflecting strong market conditions, along with favorable working capital impacts. Now excluding working capital, our cash flow for the first quarter was just over $1.2 billion down around $400 million from the fourth quarter of last year. It's important to note, however, that changes in working capital of $695 million for the quarter include $459 million of income taxes payable about a year from now in the first quarter of 2023. As we've discussed in previous calls, we expect relatively low cash tax payments in 2022. We paid about $200 million of cash income taxes in the first quarter of this year and we expect to pay about another $200 million in cash tax installments over the remainder of this year. While cash income tax payments are expected to be modest in 2022, as I just outlined we would expect in the current price environment that the income taxes payable line on our balance sheet would grow significantly over the remainder of the year, reflecting the expectation of significant cash tax payments in the first quarter of 2023. Our free cash flow for the quarter was $1.635 billion about $400 million higher than the fourth quarter of 2021. And finally, we ended the first quarter with over $3.1 billion of cash on hand our highest cash balance in over 30 years. Moving on to CapEx. Capital expenditures in the first quarter totaled $296 million, up $133 million from the first quarter of 2021 in line with our plans and full year guidance of $1.4 billion. Upstream spending in the first quarter was primarily associated with our in-pit tailings project at Kearl, which started to ramp up in the quarter as well as volume sustainment spending at Cold Lake. And the Downstream spending was driven by the Sarnia Products Pipeline, which was completed in March. Now shifting to shareholder distributions. Given our robust cash flow and our outlook for continued strong cash flow going forward, we have been very active in this space over the past year. Just to recap, we had record returns of cash to shareholders of nearly $3 billion in 2021. We ended 2021 with $2.1 billion of cash and generated as I just discussed $1.6 billion of free cash flow in the first quarter of 2022. This left us with a balance or leaves us with a balance of over $3.1 billion at the end of the quarter after returning about $450 million of cash in January through our accelerated NCIB share buyback program and paying $185 million of dividends. Additionally in February, we announced a 26% dividend increase in our dividend to $0.34 per share payable on April 1. And as Brad mentioned, this morning we announced our second quarter dividend of $0.34 per share payable July 1. And finally in this long list and maybe the Capstone, we announced this morning our attention to launch a substantial issuer bid of $2.5 billion. The terms and pricing will be determined shortly and the bid is expected to commence within the next two weeks. I think it's fair to say this announcement clearly demonstrates our ongoing commitment to return surplus cash to shareholders. I know that this SIB has been eagerly anticipated. Certainly a number of you on the call have asked about our specific plans over the last few months some of you more than once. So we're certainly very pleased to be able to provide the clarity you've been looking for on our SIB plans today. Going forward we remain committed to returning surplus cash to shareholders. And as previously discussed we continue to plan to renew our NCIB at 5% later this year. Now, I'll turn it back to Brad to discuss our operational performance. 
Brad Corson: Thanks Dan. So now let's talk about our operating results for the quarter. Upstream production for the quarter averaged 380,000 oil-equivalent barrels per day, which is down 65000 barrels per day versus the fourth quarter and down 52,000 barrels per day versus the first quarter of 2021. This decrease both year-on-year and versus the prior quarter was due mainly to the severe winter weather in Alberta that began late in the fourth quarter and continued into the first quarter, as well as some unplanned downtime at Kearl. Also of note is the ongoing strength in commodity prices. While in the fourth quarter there were a number of factors, which drove the WTI WCS spread wider such as the phased start-up of Line 3 and other smaller industry disruptions. But we saw the spread narrow by about 20% or US$3 a barrel in the first quarter, which improved -- which was improved by egress and inventory draws in Western Canada. The spread has narrowed a further approximately US$0.50 per barrel to start the second quarter and is now in the US$12 to US$13 range indicative of pipeline economics. As a large bitumen producer, Imperial stands to benefit from improved pricing for Canadian heavy barrels. So now I'd like to talk a little bit more about Kearl. After a stellar 2021 in which Kearl set new production records in nine out of 12 months, we ran up against some challenges in the first quarter of this year, related primarily to extreme cold weather conditions and also some unplanned downtime, both of which we talked about on our fourth quarter earnings call as well as at our Investor Day in March. Production at Kearl in the first quarter averaged 186,000 barrels per day gross, which was down 84,000 barrels per day versus the fourth quarter and down 65,000 barrels per day versus the first quarter of 2021. As you are aware and we've talked about this in the past, the first quarter in any year is expected to be our lowest production quarter at Kearl due in large part to seasonality driven by operating in the winter weather conditions. However, this winter saw unusually severe cold weather starting late in the fourth quarter, which carried well into January. This resulted in some atypical operating challenges especially in our mining operations. In addition, it led to extended unplanned downtime at Kearl mainly in the ore preparation area as we work to recover from the challenging start to the year. But I'm pleased to say that as of now our operations have essentially returned back to normal with April month-to-date gross production at 250,000 barrels per day. And while we realize the start to the year has created a challenge in meeting our full year guidance, we feel any change to the guidance this early in the year would be premature. As you are aware, we are heading into our annual turnaround, and once that is complete and we assess the progress of our recovery plans, we will revisit whether an update is necessary. Kearl has developed a track record over the last two years of beating expectations and the team is laser-focused on recovering and delivering a strong year again. Now looking forward to the second quarter, as I mentioned, production levels are back on track. In addition, we have our annual Kearl turnaround in the quarter starting in mid-May and running for around five weeks with an annual gross production impact of approximately 10,000 barrels per day. And finally, on Kearl, turning to operating costs, we did see an escalation in unit operating costs in the quarter. Clearly, this was largely related to the lower-than-expected volumes. Longer term, our outlook to achieve USD20 per barrel at Kearl remains intact, as we continue to grow production to 280,000 barrels per day and potentially beyond. Close management of unit cost continues to be core to our approach to maximizing profitability at Kearl. So now let's turn our attention to Cold Lake. And as you know, Cold Lake delivered very positive operating performance in 2021. And I'm pleased to say that, performance has continued into 2022. Production for the quarter averaged 140,000 barrels per day, which was down slightly versus the fourth quarter and flat with the first quarter of 2021. Our ongoing focus on production optimization and reliability continues to deliver benefits and is providing a highly cost-efficient offset to natural base decline. And the strong performance at Cold Lake has continued into the second quarter. Our April month-to-date production is at 148,000 barrels per day. I would also mention though, that we do have some very light planned turnaround activity at our Leming plant starting in late-May and continuing to late-June. The expected production impact for the year is around 1,000 barrels per day. Now turning to Syncrude, Imperial share of Syncrude production for the quarter averaged 77,000 barrels per day which was down slightly from 79,000 barrels per day in both the fourth quarter as well as the first quarter of 2021. The first quarter of this year did experienced, some challenges presented by the extreme cold weather as well. In addition, some planned downtime for hydrotreater maintenance which carried into the second quarter. The total impact of this maintenance is expected to be about 1,000 barrels per day for the year. Of note, though, Syncrude delivered their best ever first quarter bitumen production in association with strong mining and extraction performance and good utilization of the interconnecting pipelines. Guidance of 75,000 to 80,000 barrels per day for the year reflects the impacts of the planned maintenance I just mentioned as well as a major coker turnaround in the third quarter. And before we move on to the Downstream, I also want to just make a quick comment about the status of our marketing efforts regarding our unconventional assets. As you will recall the bid window closed at the end of March. And as I indicated a while ago the interest level has been quite high. We're in the process of evaluating the bids. And we'll provide more information as it becomes available. I would reiterate though, that no decision to sell the assets has been made up to this point. Now moving to the Downstream, we refined an average of 399,000 barrels per day in the first quarter which was down 17,000 barrels a day versus the fourth quarter of 2021 and up 35,000 barrels per day versus the first quarter of 2021, reflecting continued strong operating performance. Our refinery utilization was 93%. This is the third straight quarter above 90% and represents an 8% increase over the first quarter of 2021. This year-over-year increase is reflective of the ongoing post-COVID demand recovery. We also commenced our turnaround at Sarnia in the quarter, which was completed in April. This work had minimal impact on utilization, and was completed on schedule and on budget. And that also completes our planned turnaround activity in the Downstream for the year. As I've mentioned in the past, this is a light turnaround year for the Downstream. In the first quarter, our petroleum product sales were 447,000 barrels per day, which is down 49000 barrels per day versus the fourth quarter of 2021, but up 33,000 barrels per day versus the first quarter of 2021. Now, while the increase versus the first quarter reflects ongoing recovery from the pandemic-related softness, we did see pandemic-related restrictions increase somewhat early in the first quarter of this year, driving the softer demands and mainly for gasoline versus the first – versus the fourth quarter. We continue to see industry demand trends pretty consistent with what we saw through 2021, with gasoline and diesel demands hovering around 90% of historical levels and jet continuing to improve, but averaging around 70% to 80%. Canadian jet demand continues to trend toward more normal levels as COVID restrictions continue to ease. And also of note is that, our jet sales volumes continue to track above 10% ahead of industry, predominantly related to competitive gains we were able to capture in 2021 which has increased our overall market share. We are seeing a positive Downstream margin environment continue into the second quarter, due to several factors, including low product inventories and global export constraints. However, the market is also proving to be highly volatile, and we are seeing fairly large swings in Downstream margins. Also of note for our Downstream, as I mentioned earlier the first quarter saw the completion of the Sarnia Products Pipeline project, ahead of schedule. Commissioning and start-up was completed in April. This line will provide secure reliable access into our largest market Toronto, and it will also support a reduction in transportation costs of around $40 million per year. And one final item worth noting is that, we announced an expanded partnership with Loblaw's PC Optimum loyalty program, which now provides the opportunity to redeem PC Optimum points at more than 2000 Esso stations across Canada. This is one of the largest loyalty programs in Canada, and we expect the expanded partnership to bolster our leading market share. So that brings us to Chemicals now. This business delivered $56 million in earnings in the first quarter, which was down slightly from the fourth quarter of 2021, as we saw the all-time high margins of 2021 begin to ease somewhat. However, these margins still remain quite strong and we're looking forward to another year of solid results from our Chemical business. In closing now, I would summarize, the first quarter as a very strong quarter though not without some operational challenges that, I am confident are behind us now. As we look forward, our operational focus should allow us to benefit further from the very strong commodity price environment, we are currently experiencing. And our $2.5 billion substantial issuer bid announcement continues to underscore our ongoing commitment to drive shareholder value and our continued commitment to shareholder returns. Looking forward for the rest of 2022, our priorities have not changed. We remain focused on optimizing our existing asset base and delivering superior shareholder value through enhanced reliability, and maximizing performance in a period of strong commodity prices, allowing us to take utmost advantage of the current market conditions. And hand-in-hand with that comes a continued focus on sustainability as we progress our plans for renewable diesel at our Strathcona refinery and a host of other greenhouse gas advantaged projects such as Grand Rapids Phase I and our Leming redevelopment. Not only do these projects play a key role in our emissions reduction focus, but they also provide economic volume growth for our business. We will remain disciplined with respect to spending levels both operating and capital and we will also continue to return cash in excess of these needs to our shareholders. So finally, I'd like to thank you once again for your continued interest and support in our Company. 
Dave Hughes: Okay. We're going to now go to the Q&A session of the morning. I'd just like to remind folks please if you could limit yourself to one question plus a follow-up. That will ensure we can get as many questions as possible in. So with that Kevin, I'll turn it over to you to queue up the first question please. 
Operator: [Operator Instructions] Our first question comes from Manav Gupta with Credit Suisse. 
Manav Gupta: Good morning, guys. My question here is you have a very unique refining system. It literally hits across entire US spectrum you are levered to the New York Harbor cracks, you're levered to Chicago cracks and as we go across you're even levered to the Pacific Northwest and all those cracks are absolutely ripping right now. And I'm trying to understand how should we model about your -- think about your refining earnings potential given the leverage to all these different cracks in the United States? And I'll leave it there. Thank you. 
Brad Corson: Yes. Thank you for your question, Manav. As you pointed out we do have a highly integrated refining system and logistics network, which allows us to capitalize on margin and market opportunities both Canadian and US. That is leading to some very strong earnings results in the Downstream currently. And of course, as I just mentioned we're fully capitalizing on that by strong reliability, strong utilization as well as a continued discipline on operating costs, which I'm quite proud of what we've achieved there. As you think about modeling obviously still a lot of uncertainty and volatility as we look to the rest of the year. But I would say what we're seeing currently in April, we anticipate continued strength certainly through the second quarter. And I think we're optimistic about the rest of the year, but there are a lot of uncertain events that are impacting margins globally and translating into the US market low inventory levels, limits on product imports and exports and all that is creating this volatility. So uncertain how that will play out over many, many months, but we're quite optimistic certainly as we look to the second quarter. 
Manav Gupta: Great. Then we think just on our opinion that you will most likely report a very strong maybe record refining earnings in 2022. And I'll leave it there. Thank you so much.
Brad Corson: Thank you, Manav.
Operator: Our next question comes from Neil Mehta with Goldman Sachs. 
Neil Mehta: Great. Well, thanks guys for the color here. So the first question is just around dividend strategy relative to buybacks. I think it's very clear that you guys are going to get aggressive here with the buyback starting in the next couple of weeks which is great to see. But on the dividend how do you think about that -- prioritizing that relative to the buyback from here? 
Brad Corson: You want to take that one Dan? 
Dan Lyons: Yes, sure. Neil, I think, just what we said before a reliable and growing dividend is sort of the bedrock of our cash return strategy and we're committed to that. And you can see we've been reliable. We've had a dividend for over 100 years and it's been increased each year for over a quarter of a century. We've had some significant increases more recently. And after that we return the surplus cash through other means and that's basically buybacks, NCIB, SIB, or potentially a special dividend. And so that remains our philosophy. Our base dividend reliable and growing. Additional returns, we'll make those. And you kind of -- you saw the menu and you can see we're pulling pretty hard on the SIB here as we discussed. So, no real change to our philosophy. We're going to return the cash. And exactly how we do it, we'll vary with conditions and what the market is looking for and all that. But we remain committed to that philosophy. It's really unchanged.
Neil Mehta: Very clear. And then just can you talk about the Kearl setup from here. Production was lower than we anticipated during the quarter at Kearl. But can you talk about how the asset has been operating more recently in the past for the rest of the year and your confidence around meeting your production guidance?
Brad Corson: Yes. Thanks for the question Neil. And you're exactly right. We had some challenges in the first quarter and did not deliver up to expectations on volumes. A lot of that quite attributable to extreme cold weather conditions that we experienced. Of course we are accustomed to cold weather in Alberta, there's no doubt about that. But this winter was particularly extreme and it came at a time that we're continuing to really challenge the asset to maximize volume performance. And unfortunately with the cold weather it impacted our operations to extract ore from the mine, to handle it in the crushers, and ultimately, to process it. We experienced some unfortunate plugging and some equipment some unusual wear that was attributable to the extreme cold weather in our crusher teeth. And then just some other kind of maintenance issues around some of our equipment again that we've had to respond to in a very structured way and in a way that allows us to learn from our experiences in this extreme cold weather. And so as we look to the future, I'm quite confident in our ability to achieve continued higher levels of production at Kearl. I'm confident in our longer term path of the 280,000 barrels a day. In the month of April, so far, which is coming to a close, we're returning to normal. We've achieved 250,000 barrels a day month-to-date. So, essentially, back on track. As I reflect on the situation again some unfortunate challenges, but we've learned extensively from that. As you heard over the last year, we set production records in nine of 12 months last year. And so we are continuing to challenge ourselves challenge the asset, continue to test where are the operational limits. And so through some of these challenges, we have gained further insights and knowledge as to what will allow us to further improve our equipment designs, our maintenance procedures, and ensure that they are robust and resilient over the full range of operating conditions that we anticipate over the course of the year. So, we're very much encouraged by what we've learned and now we're applying all those learnings as we go forward including this upcoming turnaround. We're going to implement some changes that we think will make a material difference for the future. And again we're quite confident. So thanks for that question. You can imagine we spent a lot of time on that over the first quarter.
Neil Mehta: Thank you, Brad.
Operator: Our next question comes from Greg Pardy with RBC Capital.
Greg Pardy: Yeah, thanks. Good morning. Thanks for the rundown as always. Dan, can you just remind us -- sorry, I don't think I completely caught it. But just in terms of cash taxes out the door this year, can you just remind me what you said in your opening remarks?
Dan Lyons: Yeah, sure. We paid about $200 million of actual cash taxes in the first quarter of this year. And over the remainder of the year, in cash tax installments, we'll call them we'll pay about another $200 million. That's our expectation. Obviously, things could change but that's our expectation. So, for the whole year, including the first quarter, on the order of $400 million of real cash. Now, as I said in my kind of remarks -- and actually as we've talked about on these calls over quite a while, we're moving from this number of years of pretty low cash tax payments, because of tax loss, carryforwards and deferrals. And this year is sort of a transition year. And at current prices we're going to be fully tax paying in 2023. And as we go through the year, at these sorts of prices we're going to build up a pretty big payable, which will be due in the first quarter. So that's sort of the lay of the land.
Greg Pardy: Okay. Thanks for that. It's kind of a high-class problem. And then...
Dan Lyons: True, but yes. We'll do our best to optimize, but yes.
Greg Pardy: Okay. And then, just on the SIB, can you maybe just speak just to, how did you arrive at the size I guess would be the question the $2.5 billion. And then, again, how does that relate to the NCIB, because you can -- all right, you can renew your NCIB presumably as well in, I guess, in June. And then, maybe back on Neil's question like can we expect a nice big dividend increase post the completion of the SIB and maybe reloading on the NCIB?
Dan Lyons: Lot, lot -- a lot there. But similar to my prior answer. Look, the $2.5 billion, we looked at our cash balances, we looked at the outlook we felt quite comfortable with that amount. And obviously, we have other tools. It's not the end of the game, right? We have the NCIB, which we will renew and we can buy 5%, and we can choose if we want to accelerate that as we've done in the past. And we have all the other tools for distributing cash, additional SIBs, special dividends. So, I think everything is on the table, but we felt -- given where our cash was and our outlook, we felt very comfortable with the $2.5 billion. But the key is, as we've said for a long, long time, we're committed to returning surplus cash. We're not about building up big cash balances. So we'll continue to do that. Exactly the means will depend on circumstances at the time. Regarding the dividend, certainly, reliable and growing remains our philosophy. And when we always look at our -- we're a little cautious. You don't want to have your dividends jerking up and down. We've had a consistently rising dividend. We want to maintain that. And obviously each quarter we evaluate what we'll do with our dividend. We'll continue to do that, but we certainly remain committed to reliable and growing.
Greg Pardy: Thanks so much.
Operator: [Operator Instructions] Our next question comes from Doug Leggate with Bank of America.
David Fernandez: Hello. This is David Fernandez in for Doug. Well, thank you for taking these questions. My first one is just on -- again on the SIB, if I can ask around it a little bit differently. Clearly, it's a large number. It's larger than maybe what we had envisioned. So therefore, it allows you guys a lot of optionality going forward. How do you guys think about the pace on executing on that going forward that you also have the renewal of the NCIB there as well?
Dan Lyons: Well, may I'll just grab that. We feel pretty good. I mean the $2.5 billion we'll put out the detailed terms here the coming days after the kind of earnings gets seasoned into the market. But our intention is to execute that here in the second quarter fully. And so, I mean that's really that. And then going forward, we'll see where cash balances go. Obviously, we had the NCIB, and we have the other menu of tools, as I said including additional SIBs or special dividends or things like that. So, I don't know if that answers your question.
David Fernandez: It's -- no.
Brad Corson: No, I'm going to add one more thing. In terms of the quantum, I mean we have $3.1 billion of cash on the balance sheet at this very moment right at the end of the quarter. So, the $2.5 billion is clearly affordable. And at current prices, we'd expect our -- to continue to generate significant cash. 
David Fernandez : Got it. Got it. And that makes sense. And if I can go back to Kearl. So, I guess, we're going to wait until post turnaround to get an update around that. Like I guess, you're implying that potentially you could still meet the full year target, which like if we run some numbers here, I mean, it would kind of imply like a second half run rate at or above 300,000 barrels per day. I mean, is there something that you can point to perhaps that gives you conviction that maybe that's still achievable, or are my numbers off? 
Brad Corson: No. We believe it is still viable to achieve the full year guidance. As I mentioned, a few minutes ago, the Kearl team has continued to excel and improve their operating performance, which allowed us last year to set operating production volume records in nine of 12 months. And we are committed to a pathway to 280,000 barrels a day and potentially beyond. So we're very proactively looking at all the steps to elevate our performance. And we do have a history of performing above 300,000 barrels a day on given days and weeks. And so we're working to just string together many days of exceptional performance. And so it will take a stellar year to achieve our original guidance. But until we get a few months behind us and see what that current track record is, there's no reason yet to conclude it's not achievable. And -- but I do look forward to providing an update at next quarter's earnings call.
David Fernandez : Appreciate it. Thank you. And congrats again on the SIB. 
Brad Corson: Thank you very much. We're excited. 
Operator: Our next question comes from Travis Wood with National Bank Financial.
Travis Wood : Yes. Thanks for taking my question. You alluded to some cost pressure largely volume related at Kearl, but I wanted to hear your thoughts around kind of broader inflation pressures we've heard it from a couple that have reported already this quarter. So, just broader inflationary pressures on CapEx and OpEx side. And then maybe are you seeing any of that in a positive tone into the Chemicals business?
Brad Corson: Yes. Thanks for that question. And you're right, we are seeing some of the same inflationary pressures that others in industry and really all sectors are experiencing right now. I would characterize it year-to-date as being very moderate for us. The main place we see it is in energy costs, because we do consume a fair amount of natural gas in our operations. We are also seeing it in some of our chemical commodities and a little bit in kind of labor and other services. At this point though, I'm quite proud of our operating organizations around the country that are being very diligent about scrutinizing their costs, looking for ways to offset those inflationary pressures with other efficiencies. And to a large extent, we are achieving that at the asset level setting aside energy costs. Very difficult to offset the energy cost. But again, when we see higher energy costs on the expense side, it also translates into higher revenues for us on our production side. In terms of overall operating costs and capital costs, at this point, we're not adjusting our CapEx budget. We believe we can achieve all the plans that we laid out for the year within that $1.4 billion guidance. And so we remain committed to that. 
Travis Wood : Okay. Appreciate that color. Thank you.
Brad Corson: Thank you.
Operator: And I'm not showing any further questions at this turn. Turn the call back over to Dave Hughes for any closing remarks. 
Dave Hughes: Thank you. And I'd just like to thank everybody again for joining us this morning and your interest. If you have any further questions, please reach out to the Investor Relations team here, and we'd be happy to address them. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.